Operator: Good day, everyone, and welcome to the Microchip Technology Fourth Quarter and Fiscal Year 2013 Earnings Results Conference Call. As a reminder, today's call is being recorded. At this time, I would like to turn the conference over to Microchip's Chief Financial Officer, Mr. Eric Bjornholt. Please go ahead, sir.
James Eric Bjornholt: Good afternoon, everyone. During the course of this conference call, we will be making projections and other forward-looking statements regarding future events or the future financial performance of the company. We wish to caution you that such statements are predictions, and that actual events or results may differ materially. We refer you to our press release of today, as well as our recent filings with the SEC that identify important risk factors that may impact Microchip's business and results of operation. In attendance with me today are Steve Sanghi, Microchip's President and CEO; Ganesh Moorthy, Microchip's COO. I will comment on our fourth quarter and full fiscal year 2013 financial performance, and Steve and Ganesh will then give their comments on the results, discuss the current business environment and discuss our guidance. We will then be available to respond to specific investor and analyst questions. I want to remind you that we are including information in our press release and this conference call on various GAAP and non-GAAP measures. We have posted a full GAAP to non-GAAP reconciliation on the Investor Relations page of our website at www.microchip.com, which we believe you will find useful when comparing GAAP and non-GAAP results. I will now go through some of the operating results, including net sales, gross margin and operating expenses. I will be referring to these results on a non-GAAP basis prior to the effects of our acquisition activities and share-based compensation. Net sales in the March quarter were a record $430.1 million and were up 3.4% sequentially from net sales of $416 million in the immediately preceding quarter. Revenue by product line was $275.8 million for microcontrollers, $97.2 million for analog, $32.8 million for memory, $22.1 million for licensing and $2.3 million of other. Revenue by geography was $84.7 million in the Americas, $99.3 million in Europe and $246.1 million in Asia. On a non-GAAP basis, gross margins were 56.4% from the March quarter and above the high end of our guidance provided on February 7 of 56.25%. Non-GAAP operating expenses were 28.6% of sales and well below the low end of our guidance of 29.25%. Non-GAAP operating income was 27.8% of sales, and net income was $109.3 million. This resulted in earnings of $0.52 per diluted share, which was $0.05 above the mid-point of our guidance and $0.03 above the high end of our guidance. Our EPS guidance and the actual results included about $0.03 from the retroactive reinstatement of the R&D tax credit. For fiscal 2013, on a non-GAAP basis, net sales were $1.606 billion and up 16.1% year-over-year. Gross margins were 57.2%, operating expenses were 28.6% of sales and operating income was 28.6% of sales. Net income was $388.5 million or $1.89 per diluted share. On a full GAAP basis, gross margins, including share-based compensation and acquisition-related expenses, were 55.6% in the March quarter. GAAP gross margins were impacted by the sell-through of $1.1 million of written up inventory costs associated with our acquisition and $2.5 million of share-based compensation. Total operating expenses were $182.3 million or 42.4% of sales, and include intangible amortization and special charges totaling $47.1 million and also includes share-based compensation of $10.9 million. The GAAP net income was $59.7 million or $0.28 per diluted share. For fiscal 2013, on a full GAAP basis, net sales were $1.582 billion. Gross margins were 53%. Operating expenses were 41.7% of sales, and operating income was 11.3% of sales. Net income was $127.4 million or $0.62 per diluted share. In the March quarter, the non-GAAP tax rate was 4.5% and was favorably impacted by $6.5 million from the reinstatement of the R&D tax credit relating to calendar year 2012. The GAAP tax expense was impacted by the acquisition-related items and several nonrecurring events. Our tax rate is impacted by the mix of geographical profits, withholding taxes associated with our licensing business and the tax effect to various nonrecurring items. Excluding any one-time events, we expect our longer-term forward-looking non-GAAP effective tax rate to be about 10.5% to 11.5%. To summarize the after-tax impact that the non-GAAP adjustments had on Microchip's earnings per share in the March quarter, acquisition-related items were about $0.22, share-based compensation was about $0.056, nonrecurring favorable tax events were about $0.046 and noncash interest expense was about $0.006. The dividend declared today of $0.3535 per share will be paid on June 4, 2013, to shareholders of record on May 21, 2013. The cash payment associated with this dividend will be approximately $69.6 million. This quarter's dividend will be our 43rd consecutive quarter of making a dividend payment. We have never made reductions in our dividend. In fact, this quarter's increase marks the 37th occasion we have increased the dividend payment. And when the dividend is paid, it will take our cumulative dividends paid to our shareholders to over $2 billion. This program continues to be an important component of how we return value to our shareholders. Moving on to the balance sheet. Consolidated inventory at March 31, 2013, came down significantly to $242.3 million or 116 days. Our internally produced inventory is still a bit high, and our inventory purchased from foundries is low. We will continue to work on rightsizing the various components of our inventory holdings. We expect days of inventory at the end of the June quarter to be flat to up modestly, although we expect our internally produced inventory to decline again. Inventory at our distributors increased by 3 days during the March quarter from the record low levels we saw in the December quarter and are now at 30 days. I want to remind you that our distribution revenue throughout the world is recognized on a sell-through basis. At March 31, the consolidated accounts receivable balance increased to $230 million, driven by the back-end weighted shipments in the quarter associated with the Chinese New Year and the inventory build at our distributors. Receivable balance are in great condition, with excellent payment performance continuing from our customers. We had strong free cash flow generation in the March quarter of $123.3 million prior to our dividend payment. As of March 31, the consolidated cash and total investment position was approximately $1.84 billion, and we had $620 million in borrowings under our revolving line of credit. Excluding dividend payments, we expect our total cash and investment position to grow by approximately $100 million to $120 million in the June quarter. Capital spending was approximately $15.5 million for the March quarter and $51.6 million for fiscal 2013. The capital spending in Q4 was about $8.5 million below our forecast for the quarter, with these capital receipts pushing into Q1 of fiscal '14. We expect about $35 million in capital spending in the June quarter, impacted by the rollover of capital from the March quarter, as well as $12.5 million and a building purchase in India to support our growing R&D operations in that location. We expect overall capital expenditures for fiscal 2014 to be about $80 million. Depreciation expense in the March quarter was $22.4 million and was $88.4 million for fiscal 2013. I will now ask Ganesh to give us comments on the performance of the business in the March quarter. Ganesh?
Ganesh Moorthy: Thank you, Eric, and good afternoon, everyone. Let's now take a closer look at the performance of our product lines in the March quarter, starting with microcontrollers. Our microcontroller revenue grew 3.7% sequentially in the March quarter to achieve an all-time record of $275.8 million in revenue. Microcontroller revenue was also up 20.5% versus the year ago quarter. And for fiscal year '13, our microcontroller business was up 12.4% as compared to fiscal year '12. Microcontrollers represented 64.1% of Microchip's overall revenue in the March quarter. And by the way, in April, we also shipped our 12 billionth cumulative microcontroller. Our 16-bit microcontroller business was up 7.7% sequentially in the March quarter, achieving a new record for revenue. 16-bit microcontroller revenue was also up 93% versus the year-ago quarter. And for fiscal year '13, our 16-bit microcontroller business was up 74% as compared to fiscal year '12. Fiscal year '13 also marks the eighth consecutive year of revenue growth and new revenue records for our 16-bit microcontroller business. We continue to expand the breadth of innovative 16-bit solutions that we are offering and customers that we are serving as we continue to gain market share in this segment. Our 32-bit microcontroller business took a pause after 3 consecutive quarters of strong double-digit growth and was down 16.6% sequentially in the March quarter, although it was up 527% over the year ago quarter. For fiscal year '13, our 32-bit business was up 475% as compared to fiscal year '12. And fiscal year '13 also marks the fourth consecutive year of revenue growth and new revenue records for our 32-bit microcontroller business. We are continuing to win new designs and expanding into new applications to enable further growth in revenue and market share. Gartner Dataquest has released their microcontroller market share report for 2012. While we remained in the #2 position for 8-bit microcontrollers, we continue to gain share versus the 8-bit market at large and versus our nearest competitors. 2 years ago, it took the combination of 3 Japanese semiconductor giants, NEC, Hitachi and Mitsubishi, to knock us off the #1 spot from 8-bit microcontrollers. We assured you at the time that we would work relentlessly to gain market share and to wrest back the #1 spot in the coming years. Over the last 2 years, we closed the gap between us and the #1 supplier, Renesas, and doubled our lead -- we closed the gap by 50%, and we doubled our lead over the #3 supplier, Atmel. And you can expect more of the same in the coming years. And unlike many of our competitors, we achieved these results while maintaining a focus on profitability. In the 16-bit microcontroller market, we were again the fastest-growing 16-bit microcontroller supplier among the top 10 suppliers in 2012. We moved up from the #8 spot in 2011 to the #7 spot in 2012. And expect continue to gain share and move up the rankings in the coming years. In the 32-bit microcontroller market, we moved from the number #17 in 2011 to the #12 spot in 2012. And once again, we were the fastest-growing major 32-bit microcontroller franchise. Now Gartner Dataquest report is a backward looking indicator, where we are performing very well. Now let's look at a forward looking indicator. Within the last month, EE Times released their results of their annual embedded market study. Once again, Microchip was rated by embedded system design engineers as their #1 choice for new designs using 8-bit, 16-bit and 32-bit microcontrollers. So on all categories, we were #1. We're honored by the overwhelming preference for our solutions and see this as a positive sign for future growth, especially for our 32-bit microcontroller franchise, where there has -- where some of you have had questions about our choice of core. Our 2012 market results, as well as the 2012 design engineering preference results, echo market confirmation of our belief that what customers care about is that we offer a PIC microcontroller solution and all the attendant brand promises and that the choice of core is really not important. Moving to our analog products. Our analog business grew 4.1% sequentially in the March quarter to also achieve a new record and continues to perform exceptionally well. Analog revenue was up 12 -- 124.4% versus the year ago quarter. While for fiscal year '13, our analog business was up 89.4% as compared to fiscal year '12, easily one of the best-performing analog businesses among our peer group. Analog revenue represented 22.6% of Microchip's overall revenue in the March quarter, and that's the highest proportion of our revenue ever. Moving to memory products. This business, which is comprised of our Serial E-squared memory products, as well as our SuperFlash Memory products, was up 1%. While this business has had some drag on our overall growth, our memory business is becoming a smaller percentage of our overall business and was down to 7.6% of Microchip's overall revenue in the March quarter. We continue to run our memory business in a disciplined fashion that maintains consistently high profitability, enables our licensing business and serves our microcontroller customers to complete their solutions. Let me now pass it to Steve for some general comments, as well as our guidance going forward. Steve?
Steve Sanghi: Thank you, Ganesh, and good afternoon, everyone. Today, I would like to first comment on the results of the fiscal fourth quarter of 2013, then I will provide guidance for the fiscal first quarter of 2014. We were very pleased with our execution in the March quarter. In our last conference call, we told you that the December quarter was going to be our bottom quarter for this cycle, and we will see growth in the March quarter. We have more than delivered on that guidance. Our net sales were higher than the mid-point of our guidance. We managed the operating expenses extremely well, with operating expense percentage coming in 115 basis points below the mid-point and well below the low end of our guidance. All other financial metrics, like gross margin percentage, operating profit percentage and non-GAAP earnings per share, all exceeded the high end of our guidance. We beat the mid-point of the guidance on earnings per share by $0.05. I want to thank all the employees of Microchip, including the new employees from SMSC, for their contribution in making this an excellent quarter. We made several new all-time records in the quarter. Our total net sales were a new record. And our total microcontroller, as well as analog net sales achieved all-time new records. Individually, 16-bit microcontrollers also achieved a new all-time record. There's no doubt that Microchip has continued to gain market share in the microcontrollers, as well as analog. I had a chance to compare Microchip's microcontroller results with the SIA data for the March 2013 that was just released. We are pleased that Microchip continued to gain market share in microcontrollers. For March 2013 quarter, our total microcontroller revenue was $275.8 million. Our overall microcontroller market share increased from 7.6% in March 2012 quarter and 8.25% in calendar year 2012, to 9.7% in the March 2013 quarter. So again, 7.6% in March of 2012 quarter. It was 8.25% in the calendar year 2012. And in the March quarter just finished, 9.7% market share. Last, but not the least, the March quarter was our 90th consecutive profitable quarter. Now we will not break the SMSC numbers out past this quarter and in the new fiscal year. But for the March quarter, the classic Microchip divisions without SMSC achieved an impressive 4.9% sequential growth. The SMSC division's net sales declined by 1.7% sequentially, mainly driven by the computing products division and the PC market weakness. While we cannot control the PC market, we would like to point out that the SMSC business delivered an impressive $0.085 accretion, which was up from $0.065 accretion in the December quarter and higher than the $0.07 to $0.08 accretion that we had guided. There are lunchtime celebrations planned tomorrow throughout the SMSC sites and the combined Microchip's SMSC integration teams for a job well done. My thanks and congratulations go out to the entire team. Now looking at the results of our fiscal year 2013, it was a record year for net sales and sales up for microcontroller, as well as analog products. In November last year, we reported that we instituted a rotating time-off program for our fab employees and substantially reduced the wafer starts in our factories to reduce inventory. The inventory has come down substantially to 116 days, well below the guidance of 123 to 129 days that we provided. We are starting to reduce the amount of the rotating time off, but not completely because the internal component of the inventory is it still a bit high, while the outsourced component of the inventory is low. We expect to end this rotating time off starting July 1. Our longer-term goal for inventory continues to be 115 to 120 days. In November, we also announced that we instituted a 5% pay cut for all executives, and we then requested other employees of the company to join the executives in a voluntary 5% pay reduction through June 30, 2013. Approximately 2,500 employees had voluntarily stepped up to take a 5% pay cut. We call it shared sacrifice. I want to thank all of the dedicated Microchip employees who volunteered for this pay cut. The participation level exemplifies the strength and uniqueness of the Microchip culture. Tomorrow in a company-wide communication meeting, I will be announcing a reduction in this pay cut from 5% to 2.5% starting the next pay cycle. And the pay cut will go to 0 on July 1. I will also be announcing a special bonus as a shared reward for the employees who made an investment in the shared sacrifice. This bonus is included in the March quarter results, and the reversal of pay cuts is included in our guidance for the June quarter and beyond. Now I will provide guidance for the fiscal first quarter of 2014. We have continued to see exceptionally strong bookings and expedite requests in our business driven by strong demand in our design win pipeline. The bookings were an all-time record in the March quarter. The starting backlog for June quarter was significantly higher than the starting backlog for the March quarter. However, because of lead times, many new bookings will be scheduled beyond the end of this quarter. Taking all these factors into account, we expect Microchip's total net sales in the June quarter to be up between 2% and 6% sequentially. We're ramping our back-end facilities in assembly and test to meet the increased demand of our customers. Our back-end facilities have switched from lowering finished goods inventory to now rebuilding finished goods stock to reduce lead times and meet the increased demand of our customers. This switch from lowering finished goods to replenishing finished goods is causing our back-end facilities to grow their units produced by 11% sequentially. On a non-GAAP basis, we expect our gross margin to be between 56.5% to 57% of sales. We expect operating expenses to be between 27.75% to 28.25% of sales, and we expect the operating profit to be between 28.25% to 29.25% of sales. And we expect the non-GAAP EPS to be between $0.50 and $0.54 per share. Remember that our March quarter non-GAAP EPS of $0.52 included a $0.03 credit from the recapture of past R&D credit. Therefore, a mid-point guidance of $0.52 for June quarter is $0.03 above the actual for March quarter. SMSC is now fully integrated into Microchip. But for reference, the accretion from SMSC will be about $0.09 to $0.10 for the June quarter and between $0.40 to $0.45 for fiscal year '14. This is well above the prior estimate of $0.38 to $0.42 accretion for fiscal year '14. And we have increased that estimate a couple of times before. We have already made significant progress in transforming SMSC's business model. SMSC's gross margin, operating expenses and operating profits are already significantly better than what SMSC achieved during its full fiscal year prior to the acquisition. SMSC's operating profit in the March quarter was 25.9%, well above the 12% operating profit SMSC recorded in fiscal year '12. So more than doubled. We expect that significant improvement in SMSC financial metrics will continue. Our long-term model for the combined company remains a gross margin of about 60%, plus/minus 0.5%. Operating expense of about 27.5%, plus or minus 0.5%. And operating profit of about 32.5%, plus or minus 0.5%. All of these numbers are non-GAAP. This long-term model will continue to be a premier model in the semiconductor industry and will drive substantial shareholder value. This, together with one of the highest dividends in the semiconductor industry will continue to generate excellent shareholder value. Given all the complications of accounting for the acquisitions, including amortization of intangibles, restructuring charges and inventory write-up on acquisitions, Microchip will continue to provide guidance and track its results on non-GAAP basis. We believe that non-GAAP results provide more meaningful comparison to prior quarters, and we request that the analysts continue to report their non-GAAP estimates to First Call. With this, operator, will you please poll for questions.
Operator: [Operator Instructions] We'll take our first question from Chris Caso with Susquehanna Financial Group.
Christopher Caso - Susquehanna Financial Group, LLLP, Research Division: Steve, just maybe to start, and given your vantage point in the industry and number of your customers you touch, I think you guys are in good position to answer this. And there's obviously a concern, and it's not just Microchip, it's the whole industry and really, the whole market because of the downturn that happened in the second half of the last 2 years. Because -- I guess, based on what you're seeing now, maybe you could help us by maybe comparing what you're seeing now in terms of the customer orders, the activity to the last 2 years and maybe talk about what you see different this year than perhaps over the last 2 years?
Steve Sanghi: Well, if I could refer to one report I was reading, I don't want to name the report. But I was reading an analyst report from investment analyst, where I read that for my personal investment. It said, in the last 2 years, in both years, Fed drew the stimulus out of the market right around the April timeframe. And last year, the QE2 ended and then they started it again in September or so with QE3. And the year before also, the housing and a bunch of other stimulus ended. And this report at least pointed a significant finger towards really the reduction of that stimulus, which then resulted into a weakening of the market in the second half. And actually, the GDP was already slowing down. This year, as you look at it in the U.S. market at least, the GDP is actually up from the prior quarter. It's accelerating. And there is no sign at least today of any kind of stimulus to be withdrawn. So that's not my analysis. I'm just reading the analysis from a different report. Now as we see from our own data, the bookings are very strong. They were very strong in the last quarter. We mentioned this at the last conference call also. And as we continue, finished the month of April, it was very, very strong. So currently, there is no sign that this thing will really follow the pattern it followed in the last 2 years.
Christopher Caso - Susquehanna Financial Group, LLLP, Research Division: Okay, sure. Just as a follow-up to that. Maybe you can comment a bit about -- it sounds like you're getting some longer-dated bookings now and some customers booking into the calendar third quarter. Does that imply that your own lead times are starting to expand? What's the incentive for your customers to start booking a little farther out right now?
Steve Sanghi: So you pretty much said it. So one change that has happened in the Microchip business over the years is today, 40% of our business comes from wafers made in the foundry. And this is a result of 2 acquisitions and Microchip's own strategy of really significant number of products that we are sourcing from outside. 100% of SMSC's products are bought from foundries. 100% of SST, Silicon Storage Technology products are bought from outside. And many of Microchip products over the years were, rather than adding expensive equipment inside, we have gone outside. So that change in the mix shift has really added the complexity where today, our lead times are anywhere from 2 weeks to 16 weeks depending on the product. And we make 60,000 different product types. So if you ask me, what's your lead time? There isn't really one number. It is anywhere from 2 weeks to 16 weeks-plus. There are products which are in stock, and you can take immediate delivery. And there are other products, so you will be in line if you ordered them in less than 16 weeks. So yes, we're getting orders out in time for products that have longer lead time. And anytime that happens, there is a drag effect on the other products. Even those products which are available on a much shorter term basis, customer just reads it as, those may go longer lead time also or they place a bulk order in a kit fashion for the outer months. And you tend to get bookings on all different products out in time.
Christopher Caso - Susquehanna Financial Group, LLLP, Research Division: Just to clarify -- was -- if I look at it versus the second half of last year, was there any meaningful change in the lead times across your portfolio from the second half of last year?
Steve Sanghi: Yes, very, very meaningful change, yes. Obviously, SMSC was acquired in the second half. It was acquired on August 2. So all that impact was since then. And many of our internal products, they have ramped significantly. They were much newer products last year, contributed much smaller portion to our volume. And 1 year later, they are in significantly high volume position.
Operator: We'll take our next question from Sumit Dhanda from ISI Group.
Sumit Dhanda - ISI Group Inc., Research Division: Just a couple of questions. The SG&A performance, you came in below the low end of expectations. Could you help us understand what exactly drove that performance?
Steve Sanghi: Go ahead.
James Eric Bjornholt: It's really just great expense control across the board. We've indicated that -- how we share information with our employee base about the state of the industry and expense control. And I'd say, all employees across the company really stepped up and helped us deliver much better performance in the operating expense area. So not much else I can share outside of that other than it was a collective effort of the entire Microchip team.
Steve Sanghi: When employees are on a pay cut and fab employees are on a rotating time off, there's a culture where everyone thinks it's their money. If you spend some money on something superfluous or just want a new computer while the old one still works, you're really spending your own money because the bonuses and pay cut reversal and RTOs and all that depend on the performance. So it's really one of the best cultures, and it creates employees to then really go out of their way in watching expenses and making it an efficient OpEx operation.
Sumit Dhanda - ISI Group Inc., Research Division: Got you. And then, just following up on the, on your commentary around lead times. How do we reconcile the fact that your own internally produced inventory is at a reasonably high level, but your lead times are still expanding? In other words, is the mix so out of kilter with how the demand requests are coming in? Or help us understand what the disconnect might be.
Steve Sanghi: So a lot of the longer lead times are not from in-house produced products. A lot of the longer lead times are from foundry products. But a lot of the in-house produced products, we were holding all the inventory in the die stores, where we have really, in the last many quarters, cut back on the production in assembly and test to not really add further value when the inventories were quite high. And as the demand has come very, very strong, we have to move that die through assembly and test. And that's where some of the challenges are in acquiring new capacity, new handlers, new testers and other stuff. And the third piece is on a good number of -- select number of products. The demand has exploded and the products are built inside, but the inventory on those new products were not very high and the demand has exploded, so we're expediting them even inside the factories.
James Eric Bjornholt: Right. So just to add on to that real quickly. I want to really emphasize the point that Steve made earlier about 40% of our products being from outside foundries. And lead times from our foundry partners have extended also. So that has compounded this. And we've taken appropriate steps to build that inventory back up in the June quarter. And you can see that in our guidance for inventory. Even though the internal inventory is coming down, the foundry product will go up and allow us to have competitive lead times.
Steve Sanghi: So the mix is not out of kilter. If the mix was out of kilter, then we would be writing off inventory because lots of products will have inventory write-downs while the other products are short. So the mix is really not out of kilter. It's -- anytime when large surge in demand happens, lots of new designs take off. And on those new designs, you couldn't predict how much customer is going to buy because they're newer designs and they were in incubation. And many of those are 32-bit microcontrollers and many of them are dsPIC and 16-bit microcontrollers. That's where the demand has exploded.
Operator: We'll go next to Jim Schneider from Goldman Sachs.
Gabriela Borges - Goldman Sachs Group Inc., Research Division: This is Gabriela Borges on behalf of Jim. I was hoping you could give us a little detail on the puts and takes to gross margin guidance in the quarter? How should we be thinking about utilization versus last quarter given more modest inventory reductions and are there any impacts from mix shift or other factors that we should also be thinking about?
James Eric Bjornholt: So there's many factors that influence gross margin, including the mix of revenue from our various product lines, fixed cost absorption, factory loading levels, inventory reserves and just general competitive and economic conditions. So after considering those various gross margin factors for the June quarter, we're guiding non-GAAP gross margins to be up to 56.5% to 57%. As our inventory position gets rightsized, we can increase our factory output, which will help us improve our gross margins, and we will see some margin improvement from SMSC over time. So our long-term margin stays intact at 60%, plus or minus 0.5%, and we will get back to those levels as we increase utilization over time.
Gabriela Borges - Goldman Sachs Group Inc., Research Division: That's very helpful. And then as follow-up, if I could. I was hoping you could talk about growth drivers in the 16-bit MCU portfolio given the strong result in the quarter and over the last year. How should we be thinking of the growth profile of this business going forward? And are there any particular applications you're targeting for shagging?
Steve Sanghi: Ganesh, you can take that one.
Ganesh Moorthy: There are a broad suite of applications in which we're designed in that are continuing to grow. We're getting multiple designs in these applications with these customers. It's too broad of a range to be able to pick any one item to say that's what's driving all the growth. And I think that the strength of the business is, it is not dependent on any one application or any one customer for its growth. It's pretty broad-based.
Operator: [Operator Instructions] We'll take our next question from Steven Eliscu from UBS.
Steven Eliscu - UBS Investment Bank, Research Division: Just had a question on your 32-bit PIC. I mean, we've focused a lot in the past that the fact you're not using ARM and how it could keep you out of bidding on certain deals. I'd like to turn that around and get your opinion on how when you are included on a deal, how it -- the fact that you have a microcontroller that potentially has advantages versus an ARM core. How that's resulting in what may be less competition than what some of your peers are seeing and how it could also be resulting in better pricing resiliency as we see in 32-bit pricing based on the SIA data come down significantly over the past year.
Steve Sanghi: Ganesh?
Ganesh Moorthy: We never sell, based on ARM versus MIPS or everything else on the core. We're going in to customers to understand needs or identifying alternatives, and we propose solutions that are PIC microcontroller-based solutions. That includes the product, includes the development tools, includes the roadmap, includes our software, includes our support. What a customer buys is our ability to solve their needs for today and for tomorrow. And the talk of an ARM core versus a MIPS core versus some other core never comes up.
Steven Eliscu - UBS Investment Bank, Research Division: So you're saying you're winning because of all those attributes that you just said?
Ganesh Moorthy: Yes, there are 10, 15 different attributes that are important to the customer. There may be a few for whom the core may be important, but there's a lot more for whom their success is what's important.
Steven Eliscu - UBS Investment Bank, Research Division: That's helpful. And then, on the SMSC integration, a couple part question. First of all, just trying to understand why the accretion is higher than you originally expected. Is this just based on better IT integration and rationalization at the back end? Or was there more to it in terms of being able to fix some of the product groups and product areas that you didn't necessarily see upfront? And as a second part, now that also you've honed this M&A process with the last 2 acquisitions and you've essentially said the SMSC integration is complete, are you now ready sooner perhaps to do your next major acquisition?
Steve Sanghi: So the first part of your question regarding the SMSC accretion, I think we have revised these numbers up at least 2 or 3x now. Basically, the execution has been much better than any sand we had left in there. When you first make the estimates, you are largely making the estimate from looking from outside. And first estimate was actually based on the day we completed the acquisition. So as you get in there, as we got in there, we found significant more fat, a significant more areas of efficiency, where Microchip processes, business processes applied related into a significant -- more efficiencies. So the gross margin is significantly higher than we originally imagined. Operating expenses are much lower than we originally imagined. Therefore, the operating profit overall is much higher at lower revenue. So we had expected higher revenue before. So despite lower revenue, mainly because of the computing market, which has been really weak, despite the lower revenue, all other metrics have improved. And a lot of the internal metrics we have regarding revenue per employee to operating expenses, about anything to gross margins, to operating profit per employee, and various other indicators of rank of managers and VPs and directors and others, all these internal indicators are all turning green from bright red when we started. So I can't quite give you a pictorial view of that. Some of the data is confidential on it. But I have a very good chart on how -- where they indicators were, where we started and quarter-after-quarter, month-after-month, how many of these indicators have turned green.
Steven Eliscu - UBS Investment Bank, Research Division: And on the second part of the question?
Steve Sanghi: So the second part of your question is the SMSC acquisition is complete. Are we ready for another major acquisition? We have been ready well before even the acquisition was complete because it's different people executing it versus the people who are finding and doing the analysis. Although, if you know one that's ready and wants to do the deal, let me know, I don't have one.
Operator: We'll take our next question from Harsh Kumar from Stephens.
Harsh N. Kumar - Stephens Inc., Research Division: Steve, I had a question on 8-bit. We're starting to hear U.S. markets, emerging markets, the end demand recovering. In your opinion, do you think it's possible for Microchip to take further share in the 8-bit market, particularly as Renesas and some of the other guys sort of flounder around in profitability?
Steve Sanghi: Well, I mean, yes, I mean, our 8-bit share is increasing rapidly. Our 8-bit share is up based on SIA data substantially over Q1 last year. It grew every quarter last year. It's up substantially over Q4. Some of the people that have broken their numbers out, including one we just heard yesterday, their 8-bit was down substantially. Sequentially, Microchip's 8-bit was up sequentially from December to March. So our 8-bit is doing very, very well. Don't think negative about 8-bit. 8-bit is resilient, doing very well, we're gaining tremendous share. It has very high gross margins. It's a tremendous contributor to profitability.
Harsh N. Kumar - Stephens Inc., Research Division: Got it. And then, as again, things get better listening to your commentary, a question on CapEx. What are the puts and takes that you guys think about in deciding whether to go outside to a foundry versus going internal? Does it come down at the end to technology? Or is it a total cost proposition?
Steve Sanghi: Well, it's basically, at the end it's a cost of ownership proposition. But a couple of factors that go into that. One, we develop technologies around those business plans that are fairly large business plans, which means we will develop the mainline technologies on which we will do a lot of business. But as the company gets larger, you have a lot of small business plans. We need a little DMOS. We need a little bipolar. We need a little something else. I need a little high voltage. I need something else. So when you start to develop all these versions of technologies for all these splinter groups and small acquisitions and all those in the company, those are not cost-effective necessarily always to develop them inside. So we pretty much go find a foundry who is doing those technologies and we get those. And the second piece is, when you really go deep into lithography, where the equipment becomes very, very expensive into 12-inch wafers, then we are going predominantly outside. Microchip's both fabs are 8-inch, and they will remain 8-inch. So when we really need very deep lithography that's only available on 12-inch, we're going outside.
Operator: We'll go next to Gil Alexandre from Darphil Associates.
Gilbert Alexandre: Two questions, if I may ask. Is this BodyCom technology important or it takes a few years?
Steve Sanghi: Ganesh?
Ganesh Moorthy: So BodyCom is a new innovation. We are working with a set of customers to get it adopted and implemented in production. But like most embedded solutions, they take time to be adopted, to be designed and to go to production. So don't expect an instantaneous spike in revenue from BodyCom. It will take time, but it will be like many of our solutions we brought over the years. Where we bring them to market, help customers be successful and ramp the volume.
Gilbert Alexandre: Steve, you've been very good at making economic projections. Can you give us a reading as to degree of slowdown in the Chinese economy?
Steve Sanghi: Well, I don't know if I can claim expertise on the Chinese economy. I read the same data that you read. I have a little more view from our own business standpoint or embedded control regarding what's happening. And the quarter for China was slow, driven by just the weak economy, Chinese New Year, which is always a down quarter, and the change of government, 10 year, a decade change. Every decade the government changes there, which has recently come in. Now what they are talking about are really a new round of stimulus and really trying to accelerate the economy somewhat. And when China does that, a fair amount of money often goes into the hardware goods where our products are. A lot of it goes into appliances, household appliances, TVs, automobiles and other stuff, which really has a lot of Microchip consumption. So if anything like that happens, which looks like its likely to happen, then we will be significant beneficiary.
Operator: We'll take our next question from Williams Stein with SunTrust.
William Stein - SunTrust Robinson Humphrey, Inc., Research Division: Can you talk about your internal utilization now? I think it's in the high 50s on the front end. Is that right? And perhaps you're more constrained in the back end. Can you comment on the differential there?
James Eric Bjornholt: Yes. We don't break out a specific capacity utilization percentage. We do have plenty of capacity in our factory to support both the short term and long-term requirements of the business. It's just quite a mix today. We talked about earlier about 40% of our business being outsourced in wafer fab. And what we're doing internally coming off the rotating time-off schedules effective July 1. So it's just a lot of moving parts. I can assure you, we have plenty of capacity to grow into internally, though.
William Stein - SunTrust Robinson Humphrey, Inc., Research Division: That's helpful. And then there's another area of your business where I think you've done some smaller acquisitions and people -- investors, I think don't generally think of Microchip as a company with a strong position in touch and gesture and proximity controls. But I think you've developed some products there lately. Could you talk about the traction you've made there?
Steve Sanghi: Well, I mean, we have a very good touch business. We do business with over 1,000 touch customers in production, always has been. But our business characteristics is such that Microchip defends a very, very broad beachfront. We're not a touch company. We're not a motor control company. We're not a computing company. We're not a cell phone company. We participate everywhere with a very, very broad set of characteristics. So therefore, we don't really talk about any single application because there's just too many to talk about. Every once in a while, we throw something out and most people just think, hey, that's our focus. And we have a large portion of the business in that area, which is not true. The difference in touch is, with our touch, we're not pursuing cell phones and pads. Our touch is in automotive. Our touch is in industrial. Our touch is in printers, on touch screens, on various buttons and wheels and stoves and industrial equipment and household equipment. That's where our touch is. Margins are 2x higher than our competition or more. There are smaller volumes in a given design. They're support intensive, but Microchip is structured around being able to provide that. We don't go compete in a 20 million unit design in a cell phone. But we sell well over 20 million units in lots of small, small and mundane applications in the industrial and automotive and consumer world.
Operator: We'll take our next question from Christopher Danely from JPMorgan.
Shaon Baqui - JP Morgan Chase & Co, Research Division: This is Shaon Baqui calling in for Chris. I want to circle back real quick on a pretty well-publicized letter you guys put out, I think in the first week of February to your customers. Can you talk about what kind of impact that letter had on the order rates throughout the quarter? And maybe talk about the last time you had to issue a similar letter and what it did to order patterns?
Steve Sanghi: Well, the letter is not to create an order pattern. The letter is in response to a order pattern. So for several weeks, prior to the letter, we were getting a large amount of orders and some of the lead times had pushed out, and we talked about lead time earlier in the conversation regarding products made in foundries to some other products which are ramping very hard. So when that starts to happen, the letter is essentially giving all of our other customers a notice because Microchip has a very broad, 80,000 customers, very broad customer base. So it's to give a notice to every other customer and saying, "This is what's happening in our industry. This is what we are seeing. Please make sure that you have your orders in either at your distributor or at Microchip wherever you buy the parts from and take notice that this is happening." And usually, we didn't see any change in the pattern after that. But the pattern continued for quite a while and is continuing. It is possible that without the letter, the whole thing could have softened a little bit. And we know maybe after those customers were placing the order have placed their orders. But then when the other customers will come later on, they wouldn't have the orders in line, and they will go delinquent, their line is down. So it's a notice to the other customers, which then customer after customer then get on the bandwagon and are placing their orders which keeps the momentum rolling for an extended period of time, which is really what has happened.
Shaon Baqui - JP Morgan Chase & Co, Research Division: Okay, that's helpful. And this is a quick follow-up along those same lines. Can you talk about where your lead times are today versus the beginning of the year and when do you plan on bringing those down?
Steve Sanghi: I don't know whether you were on the call earlier on or you just signed in. But we talked quite a bit about the lead times. Microchip's lead times are anywhere from 2 weeks to 16 weeks-plus. And there's no single number I could give you for lead time. Across the 60,000-plus products we make, the lead time is really product-dependent depending on where the product is made, whether it's made in foundry, whether it's made inside, whether we have die inventory on that product, only have to test it, or we have to start from scratch making wafers. So the lead times are all over the place. Lead times have not changed since the start of this year.
Operator: We'll go next to John Pitzer from Credit Suisse.
John W. Pitzer - Crédit Suisse AG, Research Division: Steve, in your prepared comments, you gave us a metric that you usually don't give. I think you talked about the back end, perhaps, building units up 11% sequentially in the June quarter. Was the intent there to give us a sense of what you think underlying consumption could be, if you could meet it all? Is it expectation of future growth into September? What was the point of that data point?
Steve Sanghi: The point of that data was that in the prior quarter, we shipped more units than we built. So we were in the inventory depletion mode. And now, with the growth guidance we have given, you have to build more units. Plus, you -- I can't deplete them anymore, inventory is already low in our back end. I have to build more units to grow the inventory, plus I have to make up for the units I depleted last quarter. So it's just to give you a feel for -- ties into lead times also a little bit. We're having to grow the units 11% just to provide the growth we have guided, plus the units we depleted last year, from last quarter from the finished goods, replenish those, plus not deplete anymore and actually build some. And we have given you a range of guidance. So anytime we build, we build so that we can provide more than the middle point of the guidance.
John W. Pitzer - Crédit Suisse AG, Research Division: And then, Steve, on the SMSC accretion that you guys have raised a couple of times now, it sounds like a lot of that's coming on the cost side. I'm kind of curious now that we're a few quarters into this, what kind of revenue synergies you might have uncovered? And then, quickly and lastly, just given the yen situation, how do we think about yen relative to your business?
Steve Sanghi: We don't really think much about yen. We don't really buy stuff from Japan. We don't have any factories there. We ship product in Japan, but our pricing to our distributors is in dollars. So our products may become more cost-effective or less cost-effective based on yen. So if the customer has our design versus Renesas' design, they might see that difference, but most of our products that are sold in Japan are all proprietary. So it's not been a major discussion at Microchip when yen changes.
John W. Pitzer - Crédit Suisse AG, Research Division: Helpful. And then on the SMSC, the accretion, what kind of revenue synergies have you guys uncovered?
Steve Sanghi: Well, quite a bit. So we're finding that SMSC's USB and Ethernet products and other common products have homes in lots and lots of Microchip sockets where we are shipping our microcontroller, serial and other products. And they were either using somebody else's Ethernet or they can add additional capability by having that connectivity. In addition, lots and lots of USB sockets, where they have large customers, many of them we did not do business with and we're finding that they need a memory or they need an analog or they need a microcontroller. And a lot of these things have design cycles and design cycle for anything these days is about 1 year, 1.5 years. So SMSC acquisition is less than 1-year old. So there is not a lot of retained revenue, although there is some, but there's a lot more coming in future.
Operator: And we'll take a follow-up from Harsh Kumar from Stephens.
Harsh N. Kumar - Stephens Inc., Research Division: Following up on that question, Steve, maybe if I remember SMSC had a pretty strong and dynamic automotive line. I know that the time to get in that kind of business is a little bit longer than most. But I was wondering if you could shed some light on how long it may take to see some benefits of cross-selling there on that particular business?
Steve Sanghi: Ganesh, you want to comment on that?
Ganesh Moorthy: Yes, I mean, I think you're right. SMSC did have a strong automotive product line and a very proprietary one at that. They also had the added advantage of influencing designs at an architectural level with the carmakers and not just working with the Tier 1s that most semiconductor companies work with, but with the Tier 1s customer, end customer who are OEMs. And in that, we're getting insight into how those platforms are evolving over time and how other Microchip solutions can be proposed and included as the early stage design of platforms are taking place. But as you noted, these are long design cycles. You won't see any of it in the next 1, 2, 3 years. It'll take time before they are done, go into production. But slowly but surely as with all of our other embedded models, these are our long-term growth initiatives.
Operator: And with no further questions in the phone queue, I would like to turn the call back to Steve Sanghi for any additional or closing remarks.
Steve Sanghi: Well, we just want to thank all the investors and analysts for joining this call. We will see some of you on the road this quarter at some of the shows and conferences and all that. Otherwise, we will talk to you next quarter in another earnings call. Thank you.
Operator: This does conclude today's conference. We thank you for your participation.